Ignacio Arambarri: [Foreign Language] Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you who have joined us today for our 2023 nine months results presentation. As usual, we will follow the traditional format given in our events. We are going to begin with an overview of the results and the main developments during the period, given by the top executive team that usually is with us: Mr. Ignacio Galan, Executive Chairman; Mr. Armando Martinez, CEO; and finally, Mr. Pepe Sainz, CFO. Following this, we will move on to the Q&A session. I would also like to highlight that we are only going to take questions submitted via the web. So, please ask your question only through our web page, www.iberdrola.com. Finally, we expect that today's event will not last more than 1 hour and 15 minutes. Hoping that this presentation will be useful and informative for all of you. Now, without further ado, I would like to give the floor to Mr. Ignacio Galan. Thank you very much, again. Please, Mr. Galan?
Jose Sanchez Galan: Thank you, Ignacio. Good morning, everyone, and thank you very much for joining this results presentation. In the first nine months of 2023, net profit reached EUR3,637 million, up 17%, or 22% excluding noncash tax provision related to the Mexico transaction, as Pepe will explain in more detail later on. EBITDA grew 13% to EUR10,783 million, driven by our ongoing strong operation performance, reflecting the higher production in our core geographies, mainly in renewables, due to the improvement in load factors, lower energy purchases, and higher operational efficiency. In addition, we continue accelerating the implementation of our strategic plan with investment of EUR10.8 billion in the last 12 months, thanks to our ability to secure supply chains and secure projects. This has driven 9% increase in our Networks asset base to almost EUR42 billion and the addition of 3,100 megawatts of new renewable capacity to reach a total of 41,300 megawatts globally. On top of that, we have continued increasing our financial strength, thanks to our operational cash flow of EUR11.1 billion, leading to an FFO/adjusted net debt of 23.2%, with 85% of our debt at fixed rates, excluding Brazil, as you know, where regulation provides us a natural hedge to interest rates, and a liquidity of EUR20.2 billion, enough to cover our financial needs for 21 months. This set of results has allowed the Board of Directors to approve an interim dividend of EUR0.2 per share, 11% more than last year. As you can see, we have continued delivering strong growth and profitability and reducing risk profile, following the key pillars of the strategy presented in our last Capital Day a year ago, financial strength as key priority, growth focus on networks with selective investment in renewables, and a further increase in our presence in high-rating countries. EBITDA is up 13% to 10.7 10,783 million. In energy production and customers, renewable output and prices continue to normalize in European Union. And we also recovered the cash corresponding to the deficit accumulated over previous year in the retail business in U.K., where business conditions are improving. In Networks, we had positive impact from an annual tariff increase in U.S., U.K. and Brazil. In all these geographies, regulatory frameworks are also protecting us from high inflation. And we have continued improving our operational performance. In this business, our investment led to 9% increase in our regulated asset base, as I mentioned, to EUR41.3 billion with a balanced breakdown. The U.S. represents 31%; U.K., 25%; and Spain and Brazil, 22% each. We have already closed the tariff framework for 96% of our asset base to 2025, securing future predictable and stable growth across all geographies. In the case of distribution, in the U.S., the New York regulator has approved a new rate case until April 2026 for our distribution companies in this state would represent almost 60% of our AVANGRID regulated asset base. Total investment up to 2026, including 2022, has been recognized, reached $6.4 billion with a base return on equity of 9.2% and an earning share mechanism above this level. This rate case also improved the recovery of expenses related to a storm and reconciliation of financial expenses. In addition, it includes risk mitigation measures for uncollectibles and will have retroactive effect from May 1. This will result in combined positive one-off impact of $136 million after tax in local [GIP] (ph) that will be registered in the fourth quarter. AVANGRID also received approval for the new rate case until June 2025 in Maine, where the company has 14% of its regulated asset base. A new tariff was also approved in Connecticut until June 2024 for an additional 15% of its asset base. This rate case has been appealed by the company to improve some conditions. In Brazil, the process for renewal of distribution concession for 30 years is progressing, following the reasonable proposal made by the Ministry of Mines and Energy. Over the last month, we have also moved forward in several growth opportunities in transmission, which could represent EUR5 billion in the second half of the decade. In New York, the Climate leadership in Community Protection Act will drive significant additional investment until 2030. Construction works in the NECEC interconnection line in Maine were resumed in August, and AVANGRID expects to reach commercial operation by 2025. And in the U.K., official decision on the final plan for the Eastern Link 1 interconnection project is expected in November. Let me remind you that the regime already approved by the regulator will allow revenue recognition since the beginning of the construction. In renewables, we have continued growing through a strategy of selective investment improve in projects that improve our generation and supply balance. In onshore wind and solar, in the last three months, we have doubled our quarterly installation piece, resulting in 2,700 megawatts added in the last 12 months, to reach an onshore capacity of 40,000 megawatts contracted in high-rating countries. As we add 4,400 megawatts currently under construction, we'll reach a total of 7,100 megawatts, reaching 60% of our target by 2025. In offshore wind, our performance over the last month shows that this technology can create significant value with our disciplined approach to acquisition of seabed rights, [indiscernible] management, route to market and construction. We will have 1,100 new megawatts operational by 2025. 500 megawatts corresponds to Saint-Brieuc in France with more than half already exporting energy today, 475 megawatts to bulk Baltic Eagle in Germany, and 800 megawatts Vineyard Wind One in U.S. We just closed $1.2 billion [indiscernible], which is the first one for an offshore wind farm and the largest ever made for a single renewable facility in the country. These three projects have secured revenues for 100% of their energy for 15 to 20 years, adding EUR800 million of EBITDA from 2025-2026, on the top of the EUR700 million we obtained from our existing offshore wind farms since 2022. In 2026, we will put in operation in East Anglia THREE in the U.K. with 1,500 megawatts and [STFD] (ph) for 15 years, and Windanker in Germany with 300 megawatts of capacity, and its revenue is fully secured for 15 years through corporate PPAs already signed, adding another EUR400 million of EBITDA per annum from 2026-2027. The EBITDA contribution of all these new projects is in line with the lower investment per megawatt. We are expecting 40% decrease in unitary CapEx compared to the projects in advanced construction that will be operative before 2025. In only three years, we will multiply our current installed capacity by 4x, reaching close to 5,000 megawatts. They will contribute to almost EUR2 billion per annum of EBITDA when completed in 2026-2027. We also continue increasing our pipeline to secure optionality for further selective growth, focusing in projects with the potential to deliver expected returns. We have 3,600 megawatts already with consent, including Commonwealth Wind and Park City Wind in U.S., East Anglia ONE North and East Anglia TWO in the U.K. And we have secured seabed rights for other 8,000 megawatts in U.K. and United States. Finally, we continue to develop opportunities in countries like Japan, Sweden and Norway. The average development and seabed costs for all this pipeline is around EUR60 per kilowatt, 10x less than the EUR600 paid just for seabed in the last auction in U.S. and Europe. We will continue moving ahead in this project under the same guidelines: focus on high-rating countries, discipline in value creation, minimizing expenditure in the final investment decision, a conservative approach of supply chains, excellent project and construction, and development of hubs to reduce operating and maintenance cost. As more and more renewables enter the system to replace thermal generation, storage will have a key role to modulate supply and demand in daily cycles, absorbing energy during the central hours of the day through the excessive solar PV production over demand and delivering it in the evenings when demand increases and solar production stops. Each of these two periods takes six to 11 hours per day. In addition, storage can also manage an occasional excess of wind energy. Also in weekly cycles, the constant flow of renewable energy over the week and the deep change in demand between weekdays and weekends is creating an opportunity to store excess of energy on Saturdays and Sundays and gradually release it from Monday to Friday. Something similar happens in longer seasonal summer, winter cycles to the weather changes. Pumped hydro is the only technology that can provide all these services in optimal economic terms, as it can store energy for long cycles compared to the two to four hours of batteries, although both technologies can provide [indiscernible] to balance supply and demand on a real-time basis. All this makes hydro pump and storage a key technology for the energy transition. And like in networks or offshore wind, this will imply significant investment and opportunities. Iberdrola face this scenario from a unique position. Several years ago, more than 20, we started transforming our hydro plants with reversible turbines. And today, we have more than 100 million kilowatt hours of pump and store capacity in operation in the Iberian Peninsula, 20 million kilowatt hours under construction, an additional pipeline of projects up -- for up to 150 million kilowatt hours in various planning stages. We are also expanding battery storage in other geographies like United Kingdom and Australia. Regarding routes to market, as of September, we have already sold 90% of energy production up to 2025, and we expect to close the remaining 10% during the coming months. In addition, we have more than 300 terawatt hours linked to long-term contracts for the second half of the decade, most of them multi-country agreements with large global companies like Vodafone, Meta, Amazon Web Services, etc. This provides us stable and predictable revenues and visibility for the long term and maximizes returns for new projects like our German offshore wind farms, which are fully contracted through long-term PPAs. Moving to supply chains, we've already secured 100% of our renewable investment to 2025. And our two new offshore wind projects will enter in operation in 2026. And in networks, 85% of our needs to 2025 are covered as well. We have also achieved our target for asset rotation and partnership of EUR7.5 billion two years in advance, allowing us to reduce our financial needs and improve profitability, with partners like the largest sovereign funds in the world like QIA, Norges, GIC or Masdar, or financial institutions like Credit Agricole and Mapfre and energy companies like BP. We expect to continue closing deals with these partners in the near future in transmission, onshore and offshore renewables, or electricity mobility. Our transaction with Mexico Infrastructure Partners is on track for a closing before year-end, and we have only pending the permit from the competition authority. The asset swap with Eletrobras in Brazil was closed a few weeks ago, allowing to consolidate 100% of the Dardanelos hydro plant with a positive noncash impact of BRL1.5 billion. In Brazil, the alliance with GIC to co-invest in transmission was already materialized, including a first payment of BRL1.1 billion. Our agreement to co-invest EUR1.2 billion in renewable with Norges Bank is also going well with the first proceeds received, and we are preparing an expansion of this partnership to include new co-investment. In addition, the co-investment agreement related to our German offshore wind farm, Baltic Eagle, has just received the permit from national authorities, and we are working to extend this alliance to other geographies with Masdar. Finally, our joint venture with BP for the deployment of charging infrastructure in Spain and Portugal for EUR1 billion has already obtained the foreign investment authorization and is moving ahead to secure the permits from EU competition authorities. All in all, we expect to collect EUR6 billion of additional cash from this transaction in the fourth quarter of this year, which, together with cash flow generation, will allow us to close the year with a net debt of only EUR42 million to EUR43 million, in line with last year levels. We have also preserved our financial ratios with FFO to adjusted net debt at 23.2%, and our liquidity exceeds EUR20 billion. Based on this financial position, last Tuesday, the Board of Directors approved an interim dividend of EUR0.2 per share, with an increase of 11% versus EUR0.18 paid last year. This will -- this should allow us to exceed again in 2023, the dividend floor of EUR0.5 per share committed for 2025. Now, let me analyze the recent agreement reached by the European Council on electricity market reform. This [indiscernible] is in line with the proposal from the European Commission and the European Parliament presented before summer and the suggestion from different industry associations like [indiscernible] Europe. The Council, the Commission and the Parliament recognized that adequate functioning of the market over the last years and proposed some new measures to increase long-term contracting, diminishing volatility in the market with an increasing penetration of renewables and avoid future market intervention. No caps to nuclear or renewable technologies are allowed, and regulated contracts at fixed prices are only allowed on a voluntary basis. As you know, the discussion of how to -- the use of potential proceeds from the difference between the prices fixed and these contracts and market prices were finally solved, giving some flexibility to member states always under the supervision of European Commission to avoid market distortion. The proposal from the three EU institutions also established clear and common rules to define an emergency crisis, including sustained minimum market price of EUR180 per megawatt hour during at least six months. The European Council has also included measures to promote capacity mechanism and flexibility and recognized the need for higher investment in networks, in line with the Parliament's proposal. All in all, the reform is moving toward a system based on market principles and long-term contracting, as we always defend it. We expect dialogues to move ahead in the coming weeks. In addition, just a couple of days ago, the Commission released its wind power action plan and a special communication on offshore renewables. We are analyzing its content in detail, but we welcome the effort to promote the technology in which Europe has been a leader for decades. We think it covers positive aspects like improving permitting and supply chains. It also mentioned the relevance of networks. Finally, we also welcome the increase in offshore wind target capacity. So, I will now hand over to the CFO, Pepe Sainz, who will present the group financials [indiscernible] further detail.
Pepe Sainz: Thank you, Chairman, and good morning to everybody. As the Chairman has explained, EBITDA was 13.2% up to EUR10.8 billion, and reported net profit grew 17.2% to EUR3.6 billion, 22% up if you exclude the EUR160 million one-off tax impact of the Mexico transaction that will be reversed once we close the deal. FX evolution had a negative effect on our EBITDA results. The pound and the dollar depreciated against the euro by an average of 2.9% and 1.7%, while the real slightly appreciated. Nevertheless, the FX impact is more than covered at the net profit level due to our FX derivatives. Revenues increased -- revenues, sorry, decreased 1.9% to EUR37.2 billion, mainly due to energy production and clients in Spain. Procurements fell more, 14%, to EUR20 billion. And last year, we had to buy electricity at very high prices due to renewables and nuclear shortfall in Spain. This year, the situation has been reverted due to a normalized production. As a consequence, gross margin rose by 17% to EUR17.2 billion. Reported net operating expenses increased 14.5% to EUR4.3 billion. But excluding EUR83 million U.S. pension one-offs that had a positive effect last year, EUR90 million linked to reconciliation effects in the U.S. that are recognized at gross margin level and other one-off negative impacts of EUR78 million in the U.S. and U.K., net operating expenses increased 6.5%. Reported net personnel expenses grew 11.9%. But excluding the U.S. pension positive one-off in 2022 and other minor items, it grew 5.2%. Reported external services increased 11.4%, and 9.4% excluding the above-mentioned reconciliation impacts and the negative extraordinaries in the U.S. and the U.K. Analyzing the results of the different businesses and starting by Networks, its EBITDA reached EUR4.4 billion, affected by several nonrecurring items, as we will explain. In Spain, EBITDA increased 20% to EUR1,247 million, affected by a EUR203 million negative one-off in 2022 related to a legal case that was reversed at the end of 2022. Recently, the Spanish Supreme Court has ruled in our favor on this case. So we are expecting to collect around EUR230 million. Excluding the legal case, EBITDA would have been slightly positive. In the U.K., EBITDA was up 13.3% to GBP 767 million, thanks to the ED2 applicable from April onwards and higher asset base, especially in transmission, and despite a negative GBP 36 million that we have accounted in this quarter, and this is a one-off. In Brazil, EBITDA fell 3.7% to BRL7,553 million due to lower contribution from the transmission business that in Q3 included a one-off of around BRL1.2 billion, basically driven by a transmission line, Vale do Itajai, that we are going to claim to [Enel] (ph) as the extra costs that we are accounting are related to some delays in the authorizations linked to COVID-19. So the -- we had delays in the authorizations coming from the Brazilian administration, and we are claiming that to Enel, and we are expecting to recover part of this negative one-off. It is also affected by the consolidation of transmission assets included in the GIC deal. And it is partially compensated by the increase in the distribution tariffs in Brazil that gave us another BRL700 million positive. Finally, in the U.S., IFRS EBITDA was 41% down to USD 953 million due to a negative impact of $550 million positive one-off booked in 2022 linked to the recognition in the P&L of -- in IFRS of regulatory assets and $87 million from pension provisions, both accounted in IFRS but not in U.S. GAAP. As the Chairman has said, in the fourth quarter, we expect to recover $150 million in IFRS and $195 million in U.S. GAAP at the EBITDA level from the New York rate case approval as its effects are recognized from May 1 of this year. Energy production and customer business EBITDA grew 34% to EUR6,374 million. In Spain, the EBITDA was EUR3,155 million, 37% up, with higher production, especially in hydro and in nuclear, and lower energy purchases at much lower prices than we had to pay last year, and higher sales in the free market due to the gain in market share from 25% to more than 27% in 12 months. EBITDA includes a 1.2% tax in revenues that we account in the levies item and the amount is EUR213 million. In the U.K., EBITDA more than doubled to GBP 1,354 million, thanks to the full collection of GBP 321 million of 2022 tariff deficit and better margins in our retail business. Higher offshore wind production partially compensated lower onshore wind output. In the U.S., EBITDA increased 5.1% to $562 million, driven by a 4.1% higher output due to new installed capacity and better margins, but negatively affected by the cancellation cost of Park City and Commonwealth offshore projects for $40 million. With these payments, all the costs for the cancellations of these projects have been already accounted. In Mexico, EBITDA fell 8.9% to $645 million due to lower contribution from renewable assets and contracted plants, partially compensated by the new capacity in operation since May 2022. In Brazil, EBITDA fell 16% to BRL1,345 million as contribution from new renewable capacity in operation is offset by lower contribution from thermal business that last year was exceptionally strong. Finally, in the rest of the world, EBITDA fell 5% to EUR302 million due to lower prices, partially compensated by a higher production due to high -- to larger installed capacity. EBITDA was up 20% to EUR6.8 billion. D&A plus provisions grew 2.7% to EUR4 billion, mainly due to the higher asset base and activity and bad debt evolution due to increased customer billing. Net financial expenses rose EUR287 million to EUR1,666 million. Debt-related costs grew EUR374 million, EUR158 million due to the higher average net debt and EUR229 million due to the higher cost of debt, 75 basis points to 4.98% that nevertheless is below the 5.05% that we had at June. Excluding Brazil, the cost of debt was 3.71%. Cost of debt in Brazil is starting to fall as it is linked to inflation. Cost of debt ex-NEO is below the 3.8% that we announced to be expected this year in our Capital Markets Day in 2022, thanks to our fixed rate policy and the PNM delay. The higher financial expenses have been partially offset by EUR87 million positive non-debt-related results, mainly linked to FX hedges. Our reported credit metrics remained solid. 12 months FFO increased 3% to EUR11.1 billion, or 11% if we exclude hydro canon recovery in 2022. Adjusted net debt grew to EUR47.9 billion. In Q3, net debt is impacted by dividend, tax payments and FX. As a consequence, FFO/adjusted net debt stands at 23.2%. Adjusted net debt to EBITDA is 3.3x. And our adjusted leverage ratio was 44%. Ratios will be higher by year-end as we expect debt to end the year between EUR42 million and EUR43 billion. 2023 and 2024 maturities will be fully covered, thanks to already signed financing and expected proceeds coming from asset rotation and court rulings that will allow Iberdrola to recover EUR6 billion. Let me point out to the two recent sentences that we have received, the first one of the European courts regarding goodwill. And the second one, previously mentioned, in Networks in Spain will allow Iberdrola to recover EUR1 billion in the next 12 months. Exposure to new fixed-rate financing in 2024, if we exclude the PNM transaction will be limited to around EUR1 billion due to the forward start swaps already signed back in previous years at lower cost than today. Upcoming asset rotation and partnerships and selective growth provide additional flexibility to fund the investments. Our liquidity position of over EUR20 billion, as the Chairman has mentioned, covers 21 months, and the average debt life is of six years. Our diversified portfolio provides flexibility to target different markets, achieving very favorable conditions. Our 2023 financing of EUR6 billion is coming from seven different markets or sources of funds. During the nine months of 2023, Iberdrola did EUR5.3 billion of green financing, reaching EUR53 billion of ESG financing. Iberdrola continues to be the leading private group in green bonds. Net profit grew 17% to EUR3,637 million. Equity methods result increased 24%, thanks to the Brazil hydro plant asset swap with Eletrobras that the Chairman has mentioned in his presentation. This is accounted in Q3, but I have to -- I want to mention and to stress that this offsets the Brazilian transmission one-off at the EBITDA level of over EUR200 million. So, one positive offsets the one-off negative that we have accounted in the EBITDA for the transmission lines. Income tax is also affected by the positive one-off accounted in 2022 in Brazil and by the negative one-off in Mexico to be reversed hopefully at the end of this year, or we expect to reverse it at the end of this year. Excluding the Mexico one-off, net profit grew 22%. I will finish my part of the presentation remarking that structurally, Iberdrola business is protected from inflation and interest rate rises. As you can see on the slide, three out of our four network businesses are totally or partially adjusted to inflation, and our energy production and customer business is partially protected in inflationary environments directly and indirectly. In addition, our financing to be close to 100% fixed by the year-end, excluding Brazil, obviously, reduces the financing cost increase. To conclude, Iberdrola is well positioned for the higher for longer interest rate environment. Thank you. And now, the Chairman will conclude the presentation.
Jose Sanchez Galan: Thank you very much, Pepe, for your clarity and your presentation. In November 2022, you remember, we presented in London a strategy prioritizing financial strength. In order to protect ourselves from macro instability to have, at the same time, the possibility to continue growing. One year later, the figures we have presented today confirm that our analysis was right, and we are executing our plan ahead of estimates. As a result, today, we are increasing once again our 2023 net profit growth outlook to double digit, excluding capital gains from asset rotation. It is excluding capital gain for asset rotation. In the next three months, we expect to continue improving our performance, based on ongoing investment in Networks with impact of the New York rate case and tariff increases in U.S., Brazil and U.K., as well the increase in production, driven by new capacity that will continue [indiscernible] to reduce energy purchase, and the ongoing improvement of retail condition, mainly United Kingdom, and also expect to maintain net debt at EUR42 billion, EUR43 billion due to the cash flow in operation, asset rotation and partnerships. All this is based on the delivery of the key pillars presented in our Capital Market Day of last November. We are delivering growth in Networks, increasing our regulated asset base by 9% to EUR41.3 billion close to 2025 target. We are also delivering selective growth in renewables to optimize our supply-demand balance with our 2025 installed capacity target well advanced, especially in offshore wind. We continue increasing our focus on high-rate countries with more than 80% of our EBITDA coming from Continental Europe, the U.K. and U.S. and Australia. And we are optimizing even more our financial strength, as Pepe mentioned, thanks to operating cash flow and the cash proceeds from asset rotation expected by December, which will be sufficient to cover all our 2024 debt maturities. All these allow us to reaffirm today our 2025 targets and our commitment to continue increasing our dividends in line with results. We will update you on all our outlook for the coming years in the next Capital Market Day, will be held in March 2024. Thank you very much, and now we will answer any questions you may have. Thank you.
A - Ignacio Arambarri: Different financial professionals have asked the question that I will now put to the senior managers that are attending this event. Gonzalo Sanchez-Bordona from UBS; Peter Bisztyga, Bank of America; Jose Ruiz, Barclays; Meike Becker,HSBC; Manuel Palomo, Exane BNP; Pedro Alves, CaixaBank; Rob Pulleyn and Arthur Sitbon from Morgan Stanley; Javier Garrido, JPMorgan; Fernando Lafuente, Alantra; Alberto Gandolfi, Goldman Sachs; James Brand, Deutsche Bank; Fernando Garcia, Royal Bank of Canada; Ahmed Farman, Jefferies; Jorge Alonso, Societe Generale; Jorge Guimaraes, JB; Javier Suarez, Mediobanca; and finally, Marc Ip Tat Kuen from Berenberg. First question is related to the guidance 2023. Can you help us understand the drivers of the guidance upgrade? Can you give us an indication of EBITDA for the full year?
Jose Sanchez Galan: So I think I tried to explain during my presentation. So I think just to try to summarize, again, I think they are a new investments in Networks. Asset base has already grown by 9% year-on-year, reaching EUR41.3 billion RAB. In Brazil, there are new rate cases in Brazil, which provide higher EBITDA in second half toward the first one in all places, Coelba, Cosern in April; Elektro in August; and [indiscernible] Brasilia I think from August as well, or something else. In U.S., as I mentioned, the new rate case of New York, which are already affecting positively, being retroactive from May 1. I think it's producing an effect of $150 million, $190 million, which Pepe mentioned. Maine, as well is from July. U.K., we have additional revenues for an investment in RIIO-T2 and RIIO-ED2. I think in production and customers, I think normalization of wind factor -- we have already had very, very low wind factor in most countries in the first half of the year. Also now, we have already seen finally rain in Spain. We have already better hydro conditions as part of the pumping and storage. We have been making now -- we have already as well, so more rain. And hydro reserves are in line or even higher than the average of historical we had already. We have already put in serves, I mentioned, 3,100 megawatts additional capacity of renewables, and we will put some more in service during the coming months. We continue recovering the tariff deficits of U.K., which -- saw an adjustment as well on the price cap. And as Pepe mentioned, it's the optimization of the financial profile, I think, which is helping the; the asset rotation and partnership, which are making then our needs financially diminished. And those are the main things -- the consequence is then the 2023 net profit guidance to double-digit growth, and that is what makes already this consideration.
Ignacio Arambarri: Related to the same topic, which one-off should be excluded from the new 2023 net profit guidance?
Jose Sanchez Galan: What should be excluded? I think the asset rotation, yes. I think that's clear. So I think that, as I mentioned before, in these results are not at all included any special capital, extraordinary capital gains. So I think that is just excluding everything we can have already for capital gains for another provision that we can make for another part. But it's mainly capital gains -- asset rotation capital gains.
Ignacio Arambarri: Next question is related to net debt guidance. What is your net debt expectation for 2023, as we mentioned in the presentation? And could you please help us to build a bridge to the EUR42 billion, EUR43 billion guidance net debt from current EUR48 billion?
Jose Sanchez Galan: Pepe, can you reply that?
Pepe Sainz: Basically, what we are expecting is that the net debt from -- in the previous presentation, we were talking about EUR42 billion. Now, we have had some impact from FX as the dollar is slightly stronger than what we had expected. So, that was the change from EUR42 billion to EUR42 billion, EUR43 billion. Basically, what we are expecting is to collect around EUR6 billion coming from our Mexican deal before the end of the year. So, that will drive the fall in net debt from these levels to the EUR42 million, EUR43 billion that we are mentioning.
Ignacio Arambarri: Please explain the nonrecurring impacts of Brazil in nine months that you mentioned in your speech.
Jose Sanchez Galan: I think, Pepe, you can really explain that.
Pepe Sainz: We have two impacts of a similar amount. One is a negative one that has to do with some extra costs that we are accounting in our transmission business, basically driven by one transmission line. And an important part of these costs are coming from the fact that during COVID, the Brazilian administration was closed. So we had an important delay on the authorization, especially environmental authorizations, and that delay obviously impacted our costs. And obviously, that has -- the delay in the authorization that we had not expected due to the COVID is an important reason of an important part of this delay. But in terms of numbers, 200 -- over EUR200 million have to do with extra costs that we are accounting in this quarter in transmission line, and we are accounting this at the EBITDA level. And a similar amount we are accounting at the equity line and basically has to do with a profit that we are accounting due to the exchange in our hydro plants. We have actually, as the Chairman has said, got control of Dardanelos. And we are giving to Eletrobras -- it was -- and Teles Pires, okay? And that is -- that are the two impacts.
Ignacio Arambarri: Next question is related to AVANGRID. Are you satisfied with the performance of AVANGRID in the first nine months of the year?
Jose Sanchez Galan: Well, as we mentioned, I think the result has been impacted by the delay in New York rate case, which finally has been approved, which is already retroactive from May, as Pepe mentioned already. But I think Peter, you would like to add anything. I think we are expecting EUR190 million extra, which will be accounted in the fourth quarter of this year, so -- which I think that makes already the results similar to those we are expecting.
Ignacio Arambarri: Next, how does the rise in interest rates affect the profitability of assets and projects under implementation and how does it affect the cost of debt?
Jose Sanchez Galan: So I think it was already mentioned. Around 85% of our debt is already at fixed rate, excluding Brazil. And I think once we cash the operation of Mexico, I think, it's around 100%. Pepe, correct to me the numbers, if I'm not correct.
Pepe Sainz: Yes, that's right. And in the project suite, when we start a project, we tend to have our debt already fixed. And we are not expecting an increase in the financial cost this year from the levels that we are right now. So we had a total cost of $498 million, and we are expecting to end the year in a similar term.
Ignacio Arambarri: A little bit more detail on the EUR1 billion cash inflow you expect for court rulings.
Jose Sanchez Galan: So I think that is a positive news. I think we've been investing according with the Spanish law, as most Spanish companies. The international expansion has been already with certain tax allowances. And I think that we already saw a decision on the European Commission, who warns against this thing. But finally, the court -- the European court -- the European Supreme Court was already saying that we did the things properly. And I think we've been forced to repay already the amount we had already been forced to pay in advance. So I think that represents something like EUR600 million to EUR700 million plus taxes, and which I think we are expecting to cash in the next months. I don't know, Gerardo, you would like to add anything on that one.
Gerardo Calatrava: Yes, it is correct, Chairman. And the European Supreme Court has decided that there was stated, but we had legal confidence. And we need to be paid those EUR700 million, even in the case that Europe Commission decides to approve -- to appeal, sorry, the decision of the court.
Jose Sanchez Galan: You cannot already...
Gerardo Calatrava: And the other case is the case that has been resolved by Supreme Court of Spain about the remuneration of the distribution companies, and the administration considers that we have been over -- paid or remunerated. But the Supreme Court has decided that we have been remunerated correctly during the last nine or 10 years. And the financial effects are that we have to recover EUR230 million in cash. That no-negative impact will be produced in P&L. And we will avoid a decrease of EUR500 million in our asset base.
Ignacio Arambarri: Next question is related to Spanish politics. Can you please comment on the latest agreement between PSOE and Sumar to extend the energy tax? What is your understanding on the proposal included to set a minimum tax rate of 15% for companies?
Jose Sanchez Galan: Well, first, we will expect -- when the government will be formed, we will see what is the final program of the government. Now, it's already -- the discussion between different partners -- potential partners of the government. And they still are pending on another one. And when we will see the whole program, we will make the comments about that one.
Ignacio Arambarri: Next is the market reform, European market reform. Could you please share your views on the recently agreed market reform?
Jose Sanchez Galan: Well, I think I was trying to be very transparent on that one. I think the European Council agreement, I think, is in line with the proposal of the Commission and the Parliament, which I think that's positive, is consistent -- in our opinion, that is consistent, balanced and focused, I think, and defending PPAs as key mechanism to provide stable prices for the long term. We have defended that for many, many years. It's defending intervention, no caps. -- need to please current market pricing about stations, which I think that's positive, has a common and clear objective to define what is a crisis situation, which I think not everyone can really define what is energy crisis. I think it's a national intervention mechanism. I think one is, a standard crisis situation will be defined by European Commission. CFDs or auction can't be transformed. CFD continues to be voluntary. I think it's including certain -- a few specifications for certain member states, especially France, on existing and new capacity and how to redistribute the differences between the excess of CFD toward the price agreed to avoid market distortion. And there are positive aspects as well like the promotion of capacity mechanism and support already flexibility measures. And something which is very important, which I think again I think in the last communication of the European Commission is insisting, has been our flag for many years, the need of investing more in networks. So I think European Commission is defining more investment in networks. Our international agency is defining to invest more in networks. And I was already using, in my previous result presentation, the words of the former Vice President of Europe Commission that without networks, there will be not renewable because renewable will not be already in the transition. So network is a key pillar of the new transition. Now it's fully defined, and that is included as well in this presentation. So I think the analysis, in my opinion, is positive. It's defending market mechanism, no intervention and more clarity for whatever things related, how the European market has to perform and how to incentivize the investment in renewables, in networks and introducing capacity mechanism to make already to keep the lights on.
Ignacio Arambarri: We have now several questions related to the P&M deal. What is the latest on P&M acquisition? Which is the expected timing for conclusion? Would Iberdrola may consider to revisit the offer if current processes are not successful? And could you also share the plan B if P&M is not successful?
Jose Sanchez Galan: Pepe or Gerardo?
Gerardo Calatrava: So, as you know, right now, we are expecting for the Supreme Court of New Mexico to decide. Once the Supreme Court decides, if it is successful for our interest, then it will pass it to the Commission of New Mexico that has to approve it. We are expecting that to happen probably during the first half of next year. And regarding the case, the plan B is basically to tell that at this moment, we have lots of opportunities right now in the U.S. We have EUR6 billion to invest with the New York rate case. We are also, as you know, restarting NECEC, the transmission line. We have a big opportunity of repowering in our renewable assets. And with the latest news on the offshore auctions that we have seen, we have still a lot of possibilities of developing offshore in the U.S. So I think that there is plenty. We've never seen so many opportunities in the U.S. as we have right now.
Ignacio Arambarri: Now it's a question related to U.S. offshore. Have your views in U.S. offshore wind changed? Do you see troubles on other developers as an opportunity for Iberdrola? Will you participate in the accelerated New York actions?
Jose Sanchez Galan: Well, as I mentioned during my presentation, we have a positive view on the future of offshore wind. We have already, as I mentioned, the projects which are in construction. All of them has PPA signed for 2026, 2027. That is going to generate EUR1.2 million, EUR1.3 million extra additional EBITDA to make a total contribution of our offshore business by -- today, EUR700 million or EUR2 billion or close to EUR2 billion EBITDA by 2026-2027. As you know, we have additional sites secured with permits with very reduced seabed cost, very competitive, as I mentioned, is on the range of EUR60 per kilowatt to our EUR600, even in some cases, even more than that, as I'm talking about a number range. I think certain people already pay over EUR1 billion per megawatt, so -- which I think in our case, is very cheap or very competitive. Also, I think, the recent auctions in New York are already making more realistic prices. So -- and as well, has introduced something which we've been claiming, which is revision formula in the moment the FID is made, so which I think, yes, you can adjust the price according with the price of the different components of the CapEx in the moment you start the construction. So I feel and continue to feel optimistic. And that's why I think we're continuing this one. But I think what is important is to transmit all our offshore wind farm, which are under construction, 100% CapEx secured. 100% of the export price is already fixed the terms and the conditions. And I think that that's why I think we have no risk in those ones for already making that this project will be fully successful. And for the rest we have are the development, we have a great opportunity, seeing approach of New York. Others, I think, it's -- Ireland recently as well made change as well to the way the auction is made. And we hope that Britain, in the next option as well, is going to change the terms for making already some kind of revision formula for making already something more realistic instead to go to a fixed price as we were already in the past.
Ignacio Arambarri: The next question is related to the same topic that you have already mentioned about Park City Wind and Commonwealth Wind. What is the forecast update for Commonwealth for both offshore power plants in the U.S.?
Jose Sanchez Galan: Well, I think -- both I think, we are free for going to the next auction. And so really the next actions are already in terms -- attractive terms. We'll be in condition to participate if we see the conditions are really attractive. But I think we are absolutely two projects, which are already very low cost and very low CapEx expended to those [indiscernible] 10 times less than most of our colleagues and competitors. And they are absolutely free to go to the auction if the terms of the auction are already enough attractive, which I expect they will be.
Ignacio Arambarri: Next is related to the supply chains regarding offshore. Of the project expected to be in operation by 2026, out of this, what is the proportion with the CapEx and the financing secured?
Jose Sanchez Galan: So, I insist again, I think the CapEx is fully secured, closed, signed and agreed. So I think there's not any risk on that one. I think 100% of the supply chains is granted and 100% of the terms of the export of energy is fully agreed. So I think we are -- let's say, many of those, the turbines are under installation in this moment. I think in the case of Vineyard Wind, the first turbine has been installed. In the case of Saint-Brieuc, I go personally visiting the installation, and they are part of the wind farm it is supporting electricity already now. In the case of Baltic Eagle as well, I think they are -- already almost all the foundation are completed. The substation is there. So which I think is -- the things are already going according with schedule and according with cost. So I think that is what I can already say. I think we are very confident and the things are going well because we were very active in signing all terms, either in financing, either in purchasing equipment, either in installation equipment to make already the things according with the terms of the auction or with the schedule. I'd say, for instance, in the case of Vineyard Wind, I think we just signed recently already the ITC, the largest ITC ever been signed -- the tax equity, sorry, the largest tax equity ever been signed for a project in United States. So it's $1.2 billion we have signed for this one, which I think that give -- already gave us the comfort that not only technically, the things have been clearly defined and prepared, but as well the finance is already secured.
Ignacio Arambarri: Next is asset rotation. The presentation talks about further asset rotation. Is there a euro target you have in mind?
Jose Sanchez Galan: Asset rotation, so well, I think we make already just -- when we presented in our Investor Day last year, the EUR7.5 billion of the investment in asset rotation, certain of, let's say, of you, who are skeptic about the numbers, so once again, we demonstrated when we're committing something, we make already that a reality. So that is already done in this moment. But I think we continue already seeing the possibilities and opportunities under the same profile. The profile is, how we can accelerate the -- we have plenty of projects, as Pepe mentioned already. And I think we would like to optimize the financial profile using partnership on this one, which can be good for our partners and good for us as well. So I think we are in talks with for other ones as well. And I think in terms of the asset rotation, always, we are open to see. There are opportunities that somebody will be ready to pay for some of our assets, more than those, then we can already expect to [indiscernible]. But I think it's not -- there are not any new targets on that one. A target is a target. But I think there are opportunities. We are open to look for these opportunities. But in the case of partnership, I mentioned, I think we are already very proud to have already a tier 1 of partners in which, with those ones, we've already signed an alliance for already extending and expanding our existing joint ventures for broader and larger projects together, so -- which I think probably in the next few months, we will announce another new project that we can already make -- extend the existing aliens with our existing partners.
Ignacio Arambarri: Question 15. Are you still planning to sell a minority stake in AVANGRID's onshore renewables? Can we expect something until year-end?
Gerardo Calatrava: We are analyzing opportunities. And well, this is one that we have analyzed and we are waiting to see the possible offers and -- but we are not expecting to see anything before year-end.
Ignacio Arambarri: Regarding the Mexican deal, there have been press reports that Iberdrola will reinvest the sale proceeds in Mexican renewables. Could you please explain whether there is any specific commitment to reinvest proceeds from the sale of Mexico in the country?
Jose Sanchez Galan: Well, there are not any obligations of agreement to reinvest in Mexico. Saying that, I think that Mexico has been, for years, a strategic only for us. It continues to be a strategic country for us. I think we'll be more than delighted to have the opportunity to continue expanding our footprint in the country. The fact we are keeping almost 50% of our -- after the transaction, 50% of our assets in the country, mostly in renewables. We have several projects in renewables. Certain of those projects in renewable, I think, this agreement has been put in service like the [indiscernible] wind farm, which is Santiago, which is 140 megawatt, 130 megawatt, now is in operation. And I think we have another project. We are already asking for permits for another one. We will be more than delighted to continue making things there. But I think there are not any obligation, but we'll be more than delighted to continue investing in Mexico as we did in the last 20 years.
Ignacio Arambarri: Another one in concrete regarding East Anglia THREE. Can you comment on the possibility of selling the minority stake in East Anglia THREE as per press rumors?
Jose Sanchez Galan: Well, as I already mentioned, I think we are very proud to have already this bench of tier 1 of partners. I think it's -- each of the projects I think which we have already in this moment in construction can already -- we can already potentially reach agreement on that one. In the case of East Anglia THREE, we are talking with some of those to see the possibility of already making some partnership. But I think nothing still is concluded. But I think whatever of our existing projects are already able to make some kind of partnership with certain of those what we have already this strategic alliance. In this particular case, that one of those can already become one of our partners as well.
Ignacio Arambarri: Next question related to capital allocation. Could you provide an update in terms of your capital allocation following recent disposals? Has something changed versus November 2022 Capital Markets Day?
Jose Sanchez Galan: Pepe?
Pepe Sainz: Well, we are not changing the capital allocation strategy basically to continue investing in networks and in renewables with a selective approach as we mentioned. So nothing has changed, and we continue with the same strategy.
Ignacio Arambarri: Next is related to PPAs well tax rate. What is the expected tax rate for full year 2023? And also, what could be expected for 2024?
Pepe Sainz: Well, we are always somewhere between 23% and 24%. So that is basically what we are expecting.
Ignacio Arambarri: And finally, the last question is about renewables expansion. There has been lots of discussion recently about a potential slowdown in renewables expansion in power generation. Is there any change in your willingness to invest in renewable?
Jose Sanchez Galan: No. Well, I think it's -- I would like to insist what was our strategy when we defined last year. And I would like to insist our priority is to keep and to maintain our financial solidity. The second one was to grow in Networks to be -- as a priority and to be selective in renewables. And third one is to -- already to look already to invest mostly in countries with high rating. And that is our strategy. We continue on the same basis. First priority, financial solidity. Pepe has already insisted during the whole presentation about what we are doing for keeping our financial solidity. So we are keeping already -- we are trying that by the year-end, our debt will remain at the same level of previous year, even if we are paying -- increasing our dividend, even we are investing on the range of EUR11 billion, EUR12 billion during the period, thanks to asset rotation and thanks to the cash flow generated. Second, our priority is investment in networks. Why Networks? First because it's already a stable, predictable and because we have a service obligation, and I both things, service obligation and profitable, stable and predictable makes ourselves prioritize that one. And that's why we are increasing our asset base during the last 12 month by 9% in this one. In renewables, we are investing. We put already in service 1,300 megawatts. We have 7,100 megawatts in construction. We have already almost all our -- we have all our offshore wind farms who are in the plant already now in the late stage of construction, which I think they can start generating cash flow by 2024 and they will reach almost EUR2 billion by 2026-2027. But we are more selective. And I think that was the strategy, selective in the sense of looking for those which are more profitable and looking for partners in order not to stop the construction but already to continue in the terms which will not affect our financial solidity and our profitability.
Ignacio Arambarri: Okay. Thank you, Mr. Chairman. Now please let me now give the floor again to Mr. Galan to conclude this event.
Jose Sanchez Galan: So, thank you very much for your attention. And I think, as always, our Investor Relations team will be available if we are -- we'll not be enough clear in some of our questions. I hope that we tried to be very clear. But if you have any out, I think the Investor Relations team will be ready to reply to all of you. So thank you very much. And I think put into your agendas, March next year is our Investor Day already will be held in London. Thank you. Thank you very much.